Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2007 Weatherford International earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Mr. Bernard Duroc-Danner, Chairman and CEO, please proceed sir.
Bernard Duroc-Danner: Good morning everyone, as usual Andy and I will read prepared comments. We’ll try to do this as quickly as we can to move on to Q&A, Andy?
Andrew Becnel: Good morning, for our fourth quarter of 2007 we report fully diluted earnings per share of $0.99. Our team’s performance in Q4 was exceptional. Our North American team successfully navigated disappointing levels of the Canadian market activity and a flattish US market. International operations excelled. Before delving into our results I have one housekeeping item, our results of operations exclude costs associated with the process of exiting from sanctioned countries. This amounts to $0.02 on a fully diluted EPS basis. EPS comparison – at $0.99 earnings per share grew 15% sequentially from $0.86 in Q3. The fields contributed $0.12 of incremental EBIT, while non operational items took back $0.02 with R&D, corporate, other and interest expense all up over Q3 levels. This was offset by $0.03 of benefit from a lower tax rate compared to Q3. Operating performance – on a consolidated basis revenue grew $220 million sequentially, or 11%. This represents our largest sequential revenue increase in the current up cycle. Full year 2007 revenue is up 19% over ’06 against a 2% increase in average rig count globally. North America which accounted for 48% of total revenue grew by $60 million. Average rig count for the quarter improved by 12 rigs or less than 1% in North America compared to Q3. Canadian rig count was up 3% sequentially or ten rigs but down 19% compared to year-ago levels. On a full year basis North America revenue was up $265 million or 7% compared to 2006 against a flat rig count. US revenue grew at better than two times the rig count on a percentage basis. US top line performance more than offset the 15% year on year slide in Canadian revenue as a result of the 27% drop in Canadian rig count. International revenue grew $160 million sequentially or 16%. By a wide margin this is our strongest sequential improvement during the current up cycle. Middle East, North Africa, Asia let the way again in dollar growth with Latin America and CIS also posting strong gains. International revenue for 2007 is up more than $988 million or 34% compared to 2006 accounting for 79% of company wide growth over ’06. On the same basis eastern hemisphere revenue is up $832 million or 38% accounting for two-thirds of our revenue growth in 2007. Two important points on our 2007 international revenue and EBIT growth, over a year ago we [got in to] expect 40% top line growth in the east and 25% growth in Latin America. Our actual results were 38% and 22% respectively. These results were against the backdrop of an 8% rig count increase in the east and a 10% up tick in Latin America rig count. Revenue per rig in our international markets was up 24% year on year with a 28% increase in the east. This marks the sixth time in eight years that our revenue per rig has grown more than 20% year on year. Coupled with market expectations of a 9% increase in international rig count in 2008 this performance may prove helpful in accessing our ability to achieve our 2008 international growth targets. Second actual EBIT exceeded our guided targets. We had suggested to you that 30% incremental margins on our international business would be a useful estimate. We achieved 33% incrementals on average in 2007. Consolidated EBIT before corporate and R&D was $543 million for the quarter, up $51 million sequentially with operating margins at 24.8%. Eastern hemisphere incrementals of 35% were better than predicted. Latin America incrementals were extremely strong at 42% due in part to the absence of equipment move costs incurred in Q3. North American margins declined as the impact of a weak Canadian market was exacerbated by ramp up costs for the winter drilling season, severance charges and a less favorable job mix. Operating margins in the east increased 150 basis points to 25.3%. These were the highest margins reported out of the east in the last eight quarters. North American margins fell to 24.3% on the back of the dip in Canada. Geographic performance – financial performance within our four geographic regions was as follows: North America – revenue grew $60 million or 6% on a 1% improvement in rig count, EBIT was down $8 million to $256 million. Revenue across almost all product lines grew. Artificial lift, completion, well construction, drilling services and wireline accounted for approximately 85% of the top line growth. Middle East, North Africa, Asia – 24% of total revenue. Revenue rose $82 million or 18% to a new historical high. EBIT was $132 million, up $28 million. This is also a high water mark. Margins rose 170 basis points to 24.5% on incrementals of 34%. Countries that showed particular strength included Oman, Saudi, Egypt, China, Malaysia and Indonesia. Directional and underbalanced, wireline, completion, lift and re-entry posted the strongest sequential improvements. Europe, CIS, West Africa – 16% of revenue. Revenue grew $36 million or 12%. EBIT was $91 million, up $13 million. Margins grew to 26.4% a 120 basis point improvement on incrementals of 37%. Russia and the Caspian posted their strongest sequential performance of 2007 while central and Eastern Europe also generated substantial improvements. Western Europe was weak due principally to a 17% reduction in platform drilling and the departure of five mobile units during the quarter. The strongest gainers by product line were directional and underbalanced, wireline, lift, re-entry and drilling tools. Latin America – 12% of revenue. Revenue rose $42 million or 20%. EBIT was $63 million up $18 million with margins at 24.8%. Brazil, Argentina, Venezuela and Columbia all delivered substantial growth. Directional and underbalanced, lift, completion, well construction and drilling tools were among the business lines that performed well. Cash and capital – Cash Flow – During Q4 we generated EBITDA of $639 million with D&A running at $167 million. Operating working capital consumed $84 million of cash. At the end of the quarter we stood at 123 days of working capital an improvement of 14 days from the end of Q3. After deducting interest expense and cash taxes, operating cash flow was $455 million for the quarter, an increase of $187 million over Q3 and our highest levels during 2007. Capital expenditures were $521 million for the quarter, net of lost and [hold] revenue. Spending this quarter included approximately $90 million of prepayments for future deliveries. Total CapEx spending for the year net of lost and [hold] revenue was $1.6 billion including $100 million of prepayments. Approximately 80% of our gross spending during ’07 went to markets outside of North America and 70% was spent on building out four of our youngest product service offerings. Capital structure – As of year end our ratio of net debt to net capitalizations stood at 33.2% with total net debt at $3.7 billion. Cash balances totaled $171 million at quarter end. Guidance – Bernard will cover our operational outlook in his comments. I have the following updates for you on 2008 non operational items and housekeeping. Equity and earnings – As with this quarter we will report the results of equity investments in the regions where the investments are managed. Corporate expense - $120 millionR&D Expense - $195 millionNet interest expense - $220 millionCapEx - $1.8 billionD&A - $750 millionTax rate – 22% but you should expect variances from quarter to quarterShare count – we exited the quarter at 339.7 million basic shares outstanding and 348.6 million fully diluted shares I will now had the call over to Bernard.
Bernard Duroc-Danner: Thank you. By any standards Q4 was a strong quarter entirely driven by international operations. International top line growth and EBIT incrementals were excellent. We posted $0.99 which equates to about a 15% improvement in earnings sequentially and 30% increase year on year. For ’06 on ’07 the earnings increase averaged 32%. Top line grew in the quarter by $220 million or 11% sequentially. International top line grew by $160 million or 16% sequentially with every single international region performing well. North American top line grew a more modest $60 million or 6%. On a ’06 to ’07 comparison international revenues are up close to $1 billion accounting for about 80% of the company’s year on year growth. Operating income grew by $51 million, operating income incrementals were very strong internationally, $59 million or 37% Q3 on Q4. EBIT margins rose in every international region. International EBIT margins eclipsed in the North American regions for the first time in many years. By contrast, North American operations had negative incrementals reflecting a combination of very poor Canadian sequential results and a quarterly shift in product service mix. Follows more color on Q4 performance, the Canadian market was essentially flat in Q4 on Q3. Albeit 19% below an already very weak Q4 of ’06 level. Throughout the quarter activity and client mood remained very subdued. Shut down early in December for the long Christmas holiday break burdened the quarter’s operating results. Prior years we had worked through the holidays. The quarter also had a full 90 day impact, what amounts to about a 10% lower pricing structure reached at different times during Q3. From an operating standpoint we tried hard to increase productivity without hampering our ability to respond to potential outward moves in market activity. The US did well top line wise posting another quarter of good sequential growth in spite of flat market conditions. The growth was broad based with particularly strong performance in completion, artificial lifts and underbalanced. As a lower consistent direction of pricing trends up or down in the US market. Notwithstanding good top line growth, the US quarter’s operating profit was burdened by combination of heavy maintenance costs and product mix albeit most of the reasons for the quarter’s decrementals rest with Canada not the US. Year on year comparison shows good performance in spite Canada. North America managed to grow 10% in Q4 ’07 compared to Q4 ’06 and 7% ’07 versus ’06. These are modest numbers but commendable if one remembers the concurrent decline in Canadian activity and our prior very high Canadian presence as a percentage of North America, a legacy of our precision acquisition. By way of reference Canada’s percentage of our geographic mix company wide has been cut roughly in half since the precision acquisition. US is to be credited for shouldering strong growth while Canada was shrinking hard. Canada is to be credited for managing its cost structure and revenue generation capabilities as best it could in a very poor market environment. Latin America was up $42 million with EBIT and incrementals of 42% sequentially. Best performance came out of Brazil, Columbia, Argentina and Venezuela. Latin America is gearing up for a step up in business volume in ’08 and ’09. The primary drivers will be Brazil, Mexico and Venezuela. The prognosis for Latin America is very strong. In the quarter artificial lifts completion on the balance were the products lines with the strongest growth, coincidentally the same high performance performers as in [NAM]. Latin America grew year on year by 21.5% on a ’06 to ’07 basis. As I explain later in the comments, on an apple to apple basis Latin America did better than that ’06 on ’07. The eastern hemisphere as Andy mentioned was very strong across the board. Top line increased by $118 million. The sequential 15.4% growth rate was split evenly between 11.6% performance out of Europe, West Africa, CIS and almost an 18% performance out of Middle East, North Africa and Asia. Obviously Middle East, North Africa was the company’s highest performer. Incremental EBIT were almost identical at 34.4 in the Middle East, while Europe, West Africa, and CIS delivered 36.5. Product line growth was broad based with no exception. Wireline, completion and directional were the fastest growing product lines. Country wise, growth was also broad based with well over ten countries achieving comparable performance. Perhaps Russia and Saudi Arabia stand out as particularly strong. Eastern hemisphere year on year growth was 37.9% while ’06 on ’07 growth was 38.2%. Probably our industry’s highest growth rate. And the last comment on the eastern hemisphere, the quarter did not benefit from any of the forthcoming large project management works. Setting the geographic aside, I will take you through the quarterly performance of our ten service product lines. Product lines are ranked in size from largest to smallest. Artificial lift - $404 million, Drilling services - $339 million, Well construction - $332 million, Drilling tools - $241 million, Completion - $226 million, Wireline - $188 million, Re-entry fishing - $169 million Chemical and stimulation - $130 million, Integrated drilling - $101 million, Pipeline - $63 million All product lines grew. The highest combined dollar and percentage growth rates were experienced by wireline, artificial lifts, re-entry and completion. Wireline’s growth was entirely open [hole], re-entry was heavily tied to multi laterals, completions was balanced between packers and sand control, artificial lift was pretty much across the board, including lift optimization. Looking out on a forward looking basis, directional and underbalanced, what we call drilling services, is now our second largest product line notwithstanding an excellent performance by lift this quarter, we do expect directional and underbalanced to be our largest product lines sometime in ’08 or ’09. Completion is neck and neck with drilling tools and in our judgment will soon overtake that old Weatherford core and become our fourth quarter largest product line. Wireline is also likely to overtake drilling tools and rival completion in fourth place. Much of our growth results from intensive periods of seeding and technology testing with clients country by country. Once a particular technology is approved commercialization can start with the support of our infrastructure. Growth occurs a few quarters later. This process which involves time and investment is at the core of our organic growth, as is equipment to technology. Technology is central to our identity and strategy and that’s been the case for the past five years. We have acquired over the past five years well over $750 million of intellectual property in early stages of development. We have grown R&D which is trending towards $200 million at the same rate of the company’s top line roughly. We continue to invest between $100 million to $200 million per year, depends, on acquiring new intellectual property. In effect, at this stage Weatherford invests between $300 million and $400 million per annum on new technology development. Important events and acquisition activity, two important events to report that were negotiated during the quarter, completed and closed in the first two weeks of January. One we agreed to enter into a long term joint venture with Katar Petroleum Company for the use of our directional, wireline, tubular running services and fishing re-entry product lines. Two we sold to [Boretz] our ESP product line. The consideration was a combination of Boretz’ stock and cash. The combined ESP product lines will be marketed outside of the former Soviet Union as Boretz Weatherford. As an ancillary comment we are very happy for the performance and management at Boretz. In addition we spent in the quarter about $50 million on four small acquisitions. The acquired assets companies were essentially technology and/or engineering deals. The largest was [Aquatic], a Russian engineering organization dedicated to offshore applications. [Aquatic] will see our R&D infrastructure in Russia. Forward views, first NAM. In the [inaudible] Canada’s oilfield has enjoyed just about everything that can go bad. North American’s lowest spot gas price and unsavourable change in tax regime, a rise in the foreign exchange value of the Canadian currency, a circa 30% drop in activity and a concerted drive to lower oil service pricings…pretty bad. It has been a rough ride for Canada and for Weatherford; the most exposed large service company to that market. With hydrocarbon pricing of $80 oil and $7 gas, the Canadian market has stabilized and feels ready for recovery, perhaps in later ’08 or early ’09 and we believe led by the heavy oil segment. There are substantial capital programs, close to $80 billion as have been announced on and around the western Canada’s heavy oil. Today in Alberta there are 13 [inseeto] thermal projects and three surface mines producing 1.2 million barrels a day of heavy oil. By 2015 at latest, an additional ten new [inseeto] projects will be in operation for a doubling of number of fields. Canada’s heavy oil segment will lead the recovery in western Canada with a slow, powerful and secular growth move. Two, we remain constructive on the US market and our own position there. We haven’t changed our position or prognosis in 18 months when we expressed the unpopular view that the US was entering a plateau or long period of no slow growth. The productivity limitation of the US reservoir base and its technology requirement support a long, long term, a scenario of low single-digit growth for the market, particularly for gas, [tight] gas and CBF. It’s not high growth, but its low single-digit growth. Separate and distinct from gas is also a healthy prognosis for deepwater and of course lower 48 oil. In addition and Weatherford specific we expect further US organic growth in a number of product lines specifically directional, underbalance, wireline, ESP sand control and chemicals. All have proprietary technology with growing but small market shares. This is essentially what will drive our US growth throughout 2008. Setting aside prospects in North America, long term growth is all international. In both the eastern hemisphere and Latin America growth rates will be strong and the growth process will be long. Longer in fact than any relevant time frame for forecasting purposes. It is the necessary derivative of the condition of our reservoir base. Today’s relative activity, whether they’re drilling, rigless or production in the international basis aren’t enough to rest long term accelerating decline rates let alone grow production rates in harmony with underlying demographic trends. Furthermore, there isn’t a conceivable three year thrust or the equivalent that could create a tsunami of excess production and capacity. It isn’t real, it isn’t possible. Our industry has the urgent and serious need for a five to seven year build up in activity coupled with accelerating development and use of technology. We are in the long secular phase, nothing else will work. At Weatherford, the year 2007 closed with 38.2% growth ’07 on ’06 in the eastern hemisphere; I think you know this already. We expect the eastern hemisphere to grow a similar 40% in ’08 on ’07. Furthermore, we believe it is likely ’09 on ’08 will match the same sort of performance. Latin America closed at 21.5% growth ’06 on ’07. Adjusting for the sale of our Mexico rig operation in late ’06, the growth rate was actually comfortably above 25%. Latin America is expected to grow at least 25% ’08 on ’07 and at a similar rate in ’09. Latin America has some upside above these thresholds. In the eastern hemisphere we expect North Africa, Russia, [inaudible], Africa, China and central Europe to show the greatest growth year on year. Latin America we expect Mexico, Venezuela, Brazil, Argentina to show the greatest growth year on year. If we zero in on countries as opposed to regions, Algeria, Angola, India, Libya, Mexico, Catar, Russia, Saudi and Venezuela will have the largest growth year on year. Each will grow by at least $100 million in ’08 and/or multiple of that number. Given the above prognosis, we are engaged in intense process of recruitment and training. We hired 2,400 employees, net of attrition in Q4. This process will continue at a similar rate in the next 12 month. Taking an overall view of ’08 we are likely to invest about $1.8 billion in CapEx and we are already well advanced in planning and supply chain actions for ’08 CapEx. Financing organic growth is the priority at Weatherford. We estimate an asset tax return on organic growth of between 25% and 30% per annum. This is in spite of an increase in intensity of CapEx spent per dollar of organic growth reflecting materials cost pressure but even more so increasing technological complexity of tool and equipment design. In summary, we have completed the ’07 growth plan and delivered on our commitments just as we did in ’06. We are focusing on 2008’s operational performance while we are in the early stages of preparing for 2009. We have consistently believed that what is unfolding in the oil field service and equipment markets is a very long secular growth trend that mirrors acceleration of decline rates, [mono ECD] demography and GMP per capita [inaudible]. Although we were wrong in calling for an early turn around in Canada, we hope for a reversal of trends in that region within the next 12 months driven by heavy oil. We remain constructive on our prognosis in the US and finally we feel very confident in our multi year growth prognosis [inaudible] markets and more specifically our share in them. I will now turn the call back to the operator for questions, operator please.
Operator: Your first question comes from Bill Herbert - Simmons & Company International
Bill Herbert - Simmons & Company International: Thanks, good morning. Bernard and Andy, what stood out to me for the quarter was not only the sort of exceptional international revenue growth but the fact that the margins were as buoyant as they were, I mean they really jumped in most of your regions. And what, so what I’d like to know is one, what caused that. Was it mix, pricing, both or what have you and then moreover, as you continue your expansion internationally and your headcount expansion, your equipment expansion, your infrastructure expansion, can those margins be maintained at the incrementals that we witnessed in the fourth quarter?
Bernard Duroc-Danner: I think you have two forces in play. Mix isn’t one of them. Absorption and pricing, absorption is easy to understand, we grew by about $1 billion overall internationally, a little over $800 million in the eastern hemisphere. In the process of doing that the cost infrastructure to support that incremental $800 million was already in place. So you have an obvious absorption. The price is more of a rifle shot thing. You have to look at contracts by contracts renewals and also incremental contracts. To my knowledge I do not know of a single instance where either a renewal or new contracts where the pricing structure which was anything but higher. So that sort of rolls through. Can they be maintained? Yes you should always have some measure of tolerance for the, you can always have some noise in one particular quarter because things are not linear. But over a three, four quarter basis which is much more relevant economically you should see the margins in the eastern hemisphere and in Latin America sustain themselves and have some upside still.
Bill Herbert - Simmons & Company International: Okay and in a similar fashion North America alternatively the [merchants] were a bit weaker than what we thought and I think you explained as to why mostly Canada. I think if my numbers are right here, year over year margin compression in North America in ’07 was something along the lines of 250 [inaudible] thereabouts, and I’m wondering as we go into ’08, assuming a stagnant drilling environment where we’re really not likely to witness any significant growth, why aren’t margins going to be as compressed with respect to the rate of change in 2008 going down by a couple of hundred basis points again in 2008 as they did in 2007?
Bernard Duroc-Danner: That’s a very debatable question. You’re thinking with a few thoughts. One, pricing in the US look at it from where Andy is, careful as one can with the past few days we do it as a matter of course the more specifically in detail, there is really no evidence expect one product line that you’re familiar with and I won’t belabor the point, special pumping, but there is no evidence of any pricing declines, in fact depending on the district, depending on pricing, depending on product line you have as many pricing increases, modest, as you have pricing erosion, modest. So there is no, I would report it if I had any. There is no instance that I can report of any deterioration on the pricing side. I would not say that there is improvement on the pricing side although it is possible because I think that’s a bit speculative. So I have no worries on the pricing side in the US today. In Canada it has stabilized. So you have no further decline in Canada to my knowledge. We’ve had, we had a lot in Q2 and Q3, Q4 we didn’t have anything except we had the full impact of it. So that’s the pricing question. If you analyze the margin situation in Q4 and [NAM] with a great access to numbers than you have basically you know this already, Canada was god awful and it’s not a reflection of the quality of operations there, not at all. Actually the operations are very good; at least we think so in Canada. It really has to do with the extraordinarily inefficient process on the way. On the one hand the client tried to avoid getting involved in anything that would be, that could not be deferred so the activity was essentially on either [work over] or sort of simple undertakings. The cut loose people early in the quarter, at the same time we’re supposed to gear up for the seasonal high in the quarter in Q1. It was horribly inefficient. I don’t see that as being reflective for 2008. I really don’t so I think simply if you don’t believe that there’s any up in the volume in Canada coming out of heavy oil, which I was wrong. I thought Canada would do better in Q4 than it did. I couldn’t way it’s because of the change in royalties tax regime but I was wrong. When I’m wrong I’m wrong. And so therefore I’m not going to get too aggressive on the turn in Canada, it becomes too much wishful thinking. So if you dismiss what I’ve said about heavy oil in ’08 and say it’s to ’09 for example which is fine, I don’t know. I still think simply because it was so inefficient in Q4 I still think that you will see margin improves in Canada, period.
Bill Herbert - Simmons & Company International: Okay so I guess to cut through it, it looks like you generated something along the lines of 25.7% operating margins for 2007 in North America. And again, everybody has their own assumptions; we’re assuming a relatively flattish environment year over year. In that environment would you expect margins to be somewhat flat year over year or lower or higher?
Andrew Becnel: Bill what we’re looking at right now is, and again, two points that you hit on were utilization and mix which are obviously important factors and I won’t sit down and tell you that we’re run perfectly, we’re obviously not. We have plenty of room for improvement and believe me the list is long in terms of the things we’re working on to improve operational efficiencies in North America, more so in the US than Canada, because Canada has already had it’s medicine if you will. Those things have an upward [inaudible] on margins. So I would expect that it is not unreasonable for us internally, you guys make your own call on it obviously, but anything up to 100 basis points of margin expansion in North America full year on full year.
Bill Herbert - Simmons & Company International: Alright and I’ve got two quick ones here for you. First of all how should we think about modeling [Boretz] going forward, you’ve got I guess a higher ownership percentage in the company, you didn’t have any equity income contribution in the fourth quarter, and how should we think about ’08? And then lastly on taxes, I was curious to see your tax rate guidance for ’08 I think you said 22%, and if North America continues to be relatively anemic with international growing, why is the tax rate going to move higher than it was in the fourth quarter?
Andrew Becnel: Two things, I’ll do the [Boretz] deal, if you think about that on what we, if you remember what we had talked to you about in terms of ’08 accretion on everything. Now obviously we have a higher share there but if you think about $0.10 relative to that investment you’re in the ballpark. And on the taxes, remember that those are a function of two things, your geographic earnings mix as well as multiple structures that you have in place in order to be able to be efficient with respect to taxes. At certain times and they’re not always convenient, those structure may mature and the benefit may mature under it. And it’s at that time that you’re required to take the benefit. The 22% may prove conservative in terms of being too high, but we will see because I’d rather not tell you guys to undershoot the mark there.
Bernard Duroc-Danner: It is a source of frustration that we can’t be accurate on the tax rate, but it is something that gets finalized the 11th hour and we have very little control over it.
Bill Herbert - Simmons & Company International: Okay, thank you very much guys.
Operator: Your next question comes from Jim Crandle - Lehman Brothers
Jim Crandle - Lehman Brothers: Morning Bernard, Andy. Bernard a tsunami of excess production and capacity, you’re getting very colorful in your comments.
Bernard Duroc-Danner: I thought you might like that.
Jim Crandle - Lehman Brothers: A couple of questions, first of all Bernard could you talk to your IPM efforts and how that will contribute to growth in ’08 and ’09, but moreover how aggressive are you here and is there risk for companies in general of taking on too much risk in certain areas, either in pricing versus the competition or just the terms of the contract.
Bernard Duroc-Danner: The IPM that we have start impacting Weatherford top line and the rest of it in the second half of the year, not before. And there’s a sequence, they don’t all start at the same time. I think it’s fair to say that on or around Q1 of next year, pretty much everything that we have booked up should be turning, so that’s one thing. Albeit we will be booking other IPM between now and then, that’s one thing. Second and incidentally Jim, there’s often some slack on that because they tend to be large projects, sometimes the plans are not ready for you, so you sometimes slacken off by 30, 60, 90 days even if you’re on time. So you have to take these IPM things with a grain of salt in terms of start up dates and they last a very long time, at least in our case. For the most part they are anywhere from three to six year type projects. Now with respect to how aggressive we are I don’t think we are. I think we are very selective. We’re very careful not to get involved in things where the return on time is not as good as it should be. Or the return on money. We’re careful also not to take on projects where perhaps there is a great deal of pride involved in winning the project on the part of our larger competitors. Where pride is involved, typically it’s sort of hard to compete. So we stay away from these. It does mean that we don’t end up having as many press releases as perhaps we would like to but we stay away from them. With respect to pricing because I think we’re quite selective in what we get involved in and there are places where we either have something particularly interesting to offer in terms of technology or infrastructure I have not seen any evidence yet Jim of pricing being an issue versus just a normal business. I really have not.
Jim Crandle - Lehman Brothers: Okay, second question Bernard, could you speak to the performance and technology development of some of your key product lines internationally in particularly where do you stand now in LWD, rotary steerables, managed pressure drilling in terms of technology development and how those are being received by the international client base.
Bernard Duroc-Danner: Good god, that’s a bit too long but in general I think there are some cases where we’re doing very well. They’re never across the board. I can’t go out and say that well our LWD does well across the board, there are certain parts of the world where it has done very well, other parts of the world where I think it is lacking. Same for RSS, same for CPD control pressure drilling which is the more global name for underbalanced, etc. Your question reminds me a little bit the question one is asked sometimes about what are you going to do because XYZ country is not very active this year. And the answer is well there are another 20 or 30 or 40 countries of which probably half of them are very active this year. In the case of technologies, it’s a bit the same answer which is that we have made lots of progress, RSS, LWD, CPD, expandables, etc, etc, etc, in many different markets but there are even more markets where we have not. And I view that both as a stimulus or stimuli to work harder, to push harder. Also it is very encouraging. Because as long as that is the case I can sit here and tell you that our growth rates are going to be higher than the market because we remain immature. The day I tell you Jim, you know, this universal you know LWD system has gotten the proper market share everywhere and so forth and so on and it’s doing great that will be good. At the same time it will mean that we have matured. And that the growth rates will flatten. We’re not there yet by any means. By any means at all. So progress, lots of areas where we have not made progress, lots of work to be done and I think many years, I think of doubling up on work to support the growth ahead of us.
Andrew Becnel: Also Jim if you want to follow up after the call I can give you five or ten instances of I guess firsts for us in the quarter on or around MPD or wireline and/or directional.
Bernard Duroc-Danner: You could even email it to him.
Jim Crandle - Lehman Brothers: Andy just one more, one last question for you how much approximately did Canada cost you in cents per share per quarter and given the seasonal strength here in the March quarter, how much could it contribute in the March quarter versus December?
Andrew Becnel: So how much did Canada cost sequentially?
Jim Crandle - Lehman Brothers: Yes.
Andrew Becnel: That would be at about $0.03 to $0.04, it’s closer to $0.04 than $0.03.
Jim Crandle - Lehman Brothers: And how much do you think it could contribute in a range looking out to the first quarter versus fourth quarter?
Andrew Becnel: Tell me what you think the rig count will be?
Jim Crandle - Lehman Brothers: Where it is today…525 to 550 rigs.
Andrew Becnel: We should be able to contribute quite nicely, really quite nicely Jim. You’d be able to make that up and probably pick up another $0.07 to $0.08.
Bernard Duroc-Danner: Be careful though Jim, if the weather in March, this is silly but I have to remind you this. If the weather in March gets mild early, that makes a big difference. I mean I have no particular respect what I’ve just said, I feel like a weatherman, but it is what it is. If it’s milder in early March, the quarter is different.
Jim Crandle - Lehman Brothers: You’re saying make up the $0.03 plus another $0.07 to $0.08 in Canada?
Andrew Becnel: I would say another $0.07 to $0.08 yes. You could easily have a $55 million swing. Think of it that way but you need a full March.
Jim Crandle - Lehman Brothers: And last quarter Andy, based on what you see now assuming the flattest rig count in the US would you expect your US operations to be up quarter to quarter in the first quarter?
Andrew Becnel: Not meaningfully.
Bernard Duroc-Danner: Typically it is not seasonally.
Jim Crandle - Lehman Brothers: But you think it could be flat to slightly up?
Andrew Becnel: Yes, I would be disappointed if it’s not at least flat.
Jim Crandle - Lehman Brothers: Okay, that does it for me, thank you.
Operator: Your next question comes from Alan Laws - Merrill Lynch
Alan Laws - Merrill Lynch: Good morning Bernard, Andy how are you today? Surprisingly I’m not going to ask you about Canada today Bernard, so you’ll like that.
Bernard Duroc-Danner: Your predecessor drilled that well already.
Alan Laws - Merrill Lynch: I think yes you’ve definitely covered Canada. On the international though you continue to put up pretty impressive results versus your peers and you’ve stuck with your 40% eastern hemisphere growth forecast for each of the next two years while others are kind of moderating or trying to talk down people’s growth expectations, in particular [Slumber Jay’s] comments last week, I was wondering if you are concerned with the lack in near term growth in, for lack of better term, platform assets or rigs in which to sell the services or the conduit for the services out there, did that figure into your thinking on growth?
Bernard Duroc-Danner: You mean rigs in general or do you mean offshore rigs or ….?
Alan Laws - Merrill Lynch: Either like land or offshore, it would seem to me that….
Bernard Duroc-Danner: The ’08 assessment is simply based on the work we have so the issue in ’08 for me and for Andy is simply execution. Which is not a small issue; it’s always a big issue. It’s not easy.
Alan Laws - Merrill Lynch: Your execution or your customers’ execution?
Bernard Duroc-Danner: Actually both, both Alan. That’s a very good point. I was mentioning it early on; on IPM sometimes the client’s not ready for you. And so it can vary a great deal. But presumably we put in some measure of slack in our assessment in order to address that because this is not a new issue, it’s an old issue. Okay, so execution is really what determines ’08. For ’09 it’s a bit premature to sort of be discussing ’09. What we see as possible for us in ’09 is very, very similar to the situation we were in in the early days of ’07 when we were working on ’08. Very similar and the quantity of rigs issues that you bring up, the spread we have on ’09 appears to be something on the order of 60/40 or 2/3, 1/3 land versus on water and that’s going to move around. No I don’t’ see that as being at lease for us an issue. But then again Alan, we’re not that big. So in the sense to feed our growth still, still in ’09 it’s just not a huge number versus the source of quantity of growth that maybe some of our larger peers need. So that explains why, it doesn’t strike us as a very big concern.
Alan Laws - Merrill Lynch: If you put a confidence interval around that growth assessment is it like plus or minus five, or is it plus or minus two, or given what’s happening….
Bernard Duroc-Danner: Percentage wise? In ’08 it is what it is. I mean plus or minus you know if we screw up in operations, that’s it. There is no sort of I need to get the business type of risk. In ’09, it’s early, its early Alan so in ’09 I suppose that’s [inaudible] plus or minus five because it’s early. But then again it’s no different that I would have said in early ’06 for early ’07 looking as to the following year.
Alan Laws - Merrill Lynch: Okay one other question I had was you had further transactions in Russia in fourth quarter, can you talk a little bit about you evolving Russian strategy and in particular what I was interested in was your aggressive bidding on the ten land rig package in the quarter. You certainly I guess became a four letter word for a few of the land drilling contractors.
Bernard Duroc-Danner: I take that as a term of endearment.
Alan Laws - Merrill Lynch: Yes it is.
Bernard Duroc-Danner: Indeed, well first we are, Russia was traditionally for us and area not of strength but of weakness. We were by focus very strong in Middle East, North Africa; I think you know this, in Asia. But or in [North Sea] but we were not strong in Russia. So there was a lot of very quiet organic building at Weatherford two years ago, building up the organization, building up the talent base and some element of infrastructure. Since then we’ve grown quite a bit. At year end last time I checked for the former Soviet Union we had something on the order of 2,500 employees of which well more than half are in Russia themselves. So we’ve come a long way. We have done that essentially organically. There has been no real acquisitions of any substance in Russia other than [Boretz] of course which is not consolidated. You can’t require things in Russia to the best of my knowledge any more. Some of our larger peers are quite I think not only lucky, but I think shrewd in doing what they did many years ago, building a great infrastructure in Russia and acquiring things when one could. So what one buys is small. Indeed in the fourth quarter we bought a thing called Aquatic but that’s nothing more than a very I think in my mind, a very high quality engineering shop. That’s basically what it is. And we critically need it in order to accelerate our R&D efforts in Russia, because we’re setting up some R&D facilities in Russia. So we came from nothing, we were late. We did a lot of organic work. We’ve obviously been getting some traction. And we’ll get more traction but it’s primarily organic. It’s not acquisitive. I don’t know how you do it from an acquisitive standpoint. Not counting the issue that you bring up on TNK. We don’t announce contracts so this one was, we used to we don’t any more; this one was announced by the client. You’re absolutely right, in the TNK case that was a ten rig package, well it’s actually three different types of rigs and of course there’s the plumbing and services that comes with it. Plumbing and services meaning all the various tools and services that are needed in order to drill the wells. I don’t think we were particularly aggressive although if the view as our competitors expressed it was that we were, so be it. It was not particularly aggressive for what it’s worth. But add also to that the fact that we are interested in these things not at all because of the rigs, peace to the rigs, the rigs are useful. But simply whenever the rig can be adjoined to the rest of the drilling system meaning all the parts and services that are required to get the job done. When you can do something integrated or simply you are responsible on a sort of traditional way for all of the components of the drilling program, that really gets our attention. And this is going to be the case for TNK.
Alan Laws - Merrill Lynch: Excellent. I’ll turn it back, thanks for the answers.
Operator: Your next question comes from Kurt Hallead - RBC Capital Markets
Kurt Hallead - RBC Capital Markets: I just wanted to, you provide a lot of detail on this so I’ll apologize if you’re going to reiterate some of it but just really trying to connect the dots here, on how someone like the size of a [Slumber Jay] and the positioning they have kind of looking at 20% growth rates and you guys are looking at almost twice that, I guess I can assume that part of its coming from the smaller base, but I was wondering if you might be able to give us a little bit more color as to exactly you guys at Weatherford are able to kind of make those significant differential growth rates year on year when a lot of the other players you could be with are kind of looking at half that.
Bernard Duroc-Danner: It’s really not a question of us being either better or anything else, not at all. In fact I think in many respects we look up to our larger competitor. That’s one. You’ve said it already, I’m going to disappoint you because I’m just going to give you the answer you already know. We work with a much smaller base and the world’s a big place. There are many many markets in which we have very little which is great. And so what we have is legacy one or two or three service lines and nothing else. And so we said this like three years ago, and it’s just the same thing. Which is for as long as we are immature in our penetration, for as long as the market grows of course, it makes it much easier, the process, and if you give us time to get things done, because we can’t really grow much faster than we are for all sorts of people that just think for God sakes we’ve hired 2,400 people this quarter and the prior quarter I forget the number but it was under 2,000. I mean these are big numbers, very hard to get done, very hard to train. We do it as best we can so if we are, so we can’t really faster, so that’s essentially going to play out over the next few years still and you should expect us to have a higher growth rate than the leader in the industry. Eventually we will become so large our selves our growth rates will go down and some other sort of younger version of Weatherford will come up and do the same thing to us that we seem to be doing to our larger peers. This is the nature of life. So this is sort of the simplistic way I can explain it.
Kurt Hallead - RBC Capital Markets: It’s obviously got to be more than that, so what is it about your toolbox or what it is about what the customers are demanding that is kind of giving you this opportunity.
Bernard Duroc-Danner: Well specifically there are some areas where we do very well, anything that’s high pressure, high temperature we seem to be doing extremely well. Anything that is horizontal. Anything that is extended reach we do extraordinarily well both on drilling and on production. Anything that involves some of the new technologies that the industry wants whether its RSS or expandables or things like that we do very, very well. CPD which is a combination of underbalance and managed pressure drilling also we seem to have an uncompetitive advantage. And these are very young processes. The industry is learning how to use them whether for reservoir, lack of reservoir damage issues or for drilling hazard mitigation and on both grounds we appear to be very well positioned so we do have extra traction there, beyond my philosophical comments with obviously you thought were not enough.
Andrew Becnel: Kurt just think about it in very, very simple terms. Think about some of these younger product lines where we might have operations in ten, 20 maybe 30 of the 100 countries that we’re in today. And so seeding these opportunities in new countries in a very focused way, not getting too distracted and trying to do too many things makes a big difference and what’s an accelerator of that growth is putting more scale on the operations that we seeded in late ’05, ’06 and this year. And those are all going to benefit your growth and our growth in ’08 and ’09.
Kurt Hallead - RBC Capital Markets: And then you guys referenced obviously deep water as a driver, how do we assess your opportunity with all the new deep water rigs coming in over the course of the next couple of years. What kind of share? How do we think about your share or your opportunities, can you help us out with that?
Bernard Duroc-Danner: Well I mean two things. I can just remind you that if it is true that we do particularly well in extended reach and the high pressure high temperature type wells obviously it’s a natural for us. I’m glad you also asked that question because for the most part, people don’t think of us as deep water; we don’t advertise it very much. But if you remember what I’ve just said, you can see that number one, why we would fit. In terms of what deep water will do to us next two or three years, I think we typically look at an incremental of $1 billion worth of revenues coming out of deep water whenever actually the work starts, which in the case of deep water tends to be always a little bit late. But that’s sort of how we bracket it internally.
Kurt Hallead - RBC Capital Markets: Alright, that’s good, thanks a lot.
Operator: Your next question comes from [Oley Slur - Morgan Stanley]
[Oley Slur - Morgan Stanley]: Thank you very much, Bernard what’s going on here, it’s the first in like eight quarters I haven’t heard you talk about start up costs.
Bernard Duroc-Danner: I was waiting for your question Oley.
[Oley Slur - Morgan Stanley]: Even your largest competitor had start up costs on the front page and your margins seem to be getting real traction internationally is there sort of a crossover point in your organization where you are getting more leverage without having to put down quite the same effort to get it?
Bernard Duroc-Danner: Well there’s a little bit of that, but more seriously we have, I’m happy to [confirm] to you start up costs. And without start up costs I think no doubt the numbers would be higher. I think also we will have start up costs pretty much every quarter in ’08, I can almost guarantee it. I think when we started to really try to grow the international market three years ago; the ratio of start up costs to the existing level of profitability was sort of tough. Now the ratio of start up costs to the level of profitability is much easy to manage. The only way to describe it is to say that absorptions help a great deal; they will help a great deal more over the next eight quarters. But you will have continuously start up costs. We just hired 2,400 people as I mentioned in the prior question, that in and of itself is a start up cost because they’re not useful people, day one they’re useful people. Day 180, sometimes day 350 in the meantime just pay for it. And that’s your start up costs, let alone things moving around and all the inefficiencies that come with it, but it is now being applied against a base of business internationally of roughly $4 billion and some change with decent [inaudible] easier to absorb. But you’ll continue to have start up costs I’m happy to confirm.
[Oley Slur - Morgan Stanley]: Thanks for confirming that, I was a little bit worried.
Bernard Duroc-Danner: I thought you might be.
[Oley Slur - Morgan Stanley]: Your margins internationally are higher than what they are in North America in every single region, did you really expect this to happen, I mean arguably because North America has come down a little harder than expected?
Bernard Duroc-Danner: Yes that’s correct. No I think point taken, I did not expect and I was wrong that Canada in Q4, this Q4 would be the way it was. Perhaps I didn’t anticipate the change in royalty regimes fine, but notwithstanding that I was wrong. And therefore I would not have expected the margins in [NAM] to be hit the way they were hit and therefore we [inaudible] expected the international side to cross the way it did and as early as it did.
[Oley Slur - Morgan Stanley]: I have to congratulate you on your, the accuracy of your international guidance that you gave almost two years ago, but if you go back to when you first gave that guidance of 40% and 25%, could you just benchmark a little bit where you have done better than what you thought you would and where you have underperformed relative to the expectations, were there any particular product lines or regions.
Bernard Duroc-Danner: It will surprise you. I think, we have, from where we were and what we expected I think we over performed in the Soviet Union, former Soviet Union, I think Russia we’ve over performed. Albeit I understand we came from very little but notwithstanding that, we over performed. And I may surprise you by saying we under performed in North Africa and even in the Middle East. And how can that be possible, they’re high performance but many things we worked on have been extraordinary slow and difficult to translate into the sort of things you want to see. Which is top line and margins. Things take time. So paradoxically because Middle East and North Africa are our strongest area I think it’s clear, that’s the one that disappointed us the most. Not management’s fault I might add at all, it’s the nature of the beast. Conversely former Soviet Union, my hat’s off to them. They did far more than I thought they could do. Product service line sort of the ones that disappointed, I’m trying to think, I think wireline had a slow start.
Andrew Becnel: Prospect Canada.
Bernard Duroc-Danner: Yeah I know, but I mean just internationally. Forget Canada, they had a slow start its true. It’s a little bit the nature of the beast. I don’t really know the other ones; they sort of the deltas of our [inaudible] expectations are not that great, not worth mentioning.
[Oley Slur - Morgan Stanley]: Well impressive, thank you very much.
Operator: Your next question comes from Geoff Kieburtz – Citigroup
Geoff Kieburtz – Citigroup: Thanks good morning. Couple of things, could you quantify the severance charges you mentioned in North America?
Andrew Becnel: Three million.
Geoff Kieburtz – Citigroup: Okay, ongoing or over?
Andrew Becnel: We shall see in Canada as to how things go in Q1. We’re not after headcount reductions, we want our employees. We just want to get as much possible out of everybody as efficiently as possible both people and equipment. If we don’t see Canada firming up then we have to obviously take a look at how we sit relative to rig count and if things look different at the end of Q1 looking out into Q2 and Q3 that’s always a place that you have to look if you want to manage yourself well. US we’re definitely not looking to cut headcount. Again when you get the feeling of the types of things that are being worked on in the US it’s more a matter of where can we be more aggressive on pricing to the upside, how can we utilize things better and how can we improve supply chain. The discussions are not about our people aren’t working hard. They are working hard and I think they’re quite fully utilized.
Geoff Kieburtz – Citigroup: I think you’ve answered this question already but you mentioned Bernard that the project management works that you have in hand largely start up in the second half of ’08 and back to the discussion on start up costs, I think I heard you say that there are start up costs, there will be start up costs and therefore we shouldn’t expect that there’s going to be a significant change in those start up costs even as you approach the start up of these project management works, is that correct?
Bernard Duroc-Danner: Geoff, absent a particularly difficult situation which we don’t have today and we don’t anticipate, that’s correct.
Geoff Kieburtz – Citigroup: Okay. And then in terms of CapEx are we right to take the $1.8 billion that you talk about for ’08 and compare it to the $1.6 that you had in ’07 net of lost and [whole], is that the right way to think about it?
Bernard Duroc-Danner: I think that’s right Geoff, I think that’s right.
Geoff Kieburtz – Citigroup: And can you tell us a little bit more about that CapEx how does the mix of growth versus maintenance change are there particular areas in line to business that are getting either significantly greater share or significantly less.
Bernard Duroc-Danner: Sure, I think Andy covered in his comments the regional allocations. First distinguish in simple terms between maintenance and growth, numbers are a bit more detailed than that but for the sake of discussion, think of maintenance around $400 million, $425 million, maybe $450 million something like that. I think $450 million is more conservative. And so you back out $450 million from $1.8 billion and whatever number that is. Okay that’s number one. Next thing you want to ask yourself is again simplistic but it’s close to being accurate. In today’s mix and in today’s cost of materials etc. mix I mean mix of products and service lines, for ’08 and also ’09, what sort of growth should you anticipate? I would think about $0.65 impact meaning $0.65 of CapEx for $1 of top line give and take with a 30% incremental. Something like that. If you crunch those numbers it will give you something on the order of, something like a couple of billion dollars of top line growth or something like that. That’s what the growth CapEx will see. Now I’m being simplistic here but you can look at reams of spec sheets which we also have and it’s not going to be any different plus or minus a few dollars. So that’s sort of the overall forces in motion. As to where are the CapEx dollars going to go, really I would say hugely biased towards the drilling side of the business. Very little on the production side of the business. Not yet on the production side of the business. This is heavily all the usual suspects on the drilling side, go down on [park] lines, they’re all there. Not one versus the other, just all the drilling side. I think as you go into 2010, 2011 that may change a little bit.
Andrew Becnel: Another thing that we have seen is obviously with the number of people bringing in training facilities, new facilities to accommodate growth out beyond ’09 that are being up and the costs associated with that, there is a good chunk of CapEx that goes towards continuing to build out. Bernard mentioned R&D facility in Russia, training facilities, manufacturing facilities and whatnot, and those are very much lead time investments that don’t generate revenue but it influences that ratio.
Bernard Duroc-Danner: The only thing about this and he’s completely right, the one thing I would add to that is that those types of CapEx they ride more than one year. Put another way, you have a certain slice of it in ’08, you got paid for some in ’07 and you’ll pay for some in ’09. They’re not one year type things.
Geoff Kieburtz – Citigroup: In your guidance Andy you mentioned net interest expense for ’08 $220 million I think that seems to imply that there’s not expected to be any material cash build over the course of the year, is that correct?
Andrew Becnel: Actually I modeled it with flat debt levels, flat on Q4 is what we look at. As you all know we don’t typically build up a lot of cash, cash that we do build up often times is used for buy backs.
Geoff Kieburtz – Citigroup: So that’s how we should think about it, that that cash will go to buy back.
Andrew Becnel: You can go to one or the other, reduce net interest expense or reduce share count.
Geoff Kieburtz – Citigroup: Okay and I guess the last question is in your list of specific countries that are going to drive growth and it’s kind of a two part question, you’d mentioned before I think that you expected Algeria and Libya both to be in excessive of billion dollar revenue generators I think 2010 is that correct?
Bernard Duroc-Danner: Actually Algeria is a good bet, Libya in my opinion is a bit [inaudible] but it is hopeful so I think I know what the source of that information is and God Bless him, my particular view point is the number is Algeria is good, Libya is a little bit racy. Let’s call it $.5 billion and that would be good enough. But please go on with your question.
Geoff Kieburtz – Citigroup: Well it was just that in your list Angola and India came in between Algeria and Libya and I just...
Bernard Duroc-Danner: You mean in terms of ranking?
Geoff Kieburtz – Citigroup: Yes.
Bernard Duroc-Danner: It was alphabetical best I can recall.
Geoff Kieburtz – Citigroup: Purely alphabetical okay.
Bernard Duroc-Danner: Sorry.
Geoff Kieburtz – Citigroup: Alright I just wanted to make sure….
Bernard Duroc-Danner: But that’s good I’m glad you asked that question because I think I’m aware of the comment of a billion on Libya and I think it will make our Libyan friends proud however that one is a little bit high. I think I would be very content with one half that number. On the other hand the Algerian number which is also very aggressive I think is not unreasonable.
Geoff Kieburtz – Citigroup: Okay, great thanks very much.
Operator: Your next question comes from Michael Urban - Deutsche Bank Securities
Michael Urban - Deutsche Bank Securities: I think the one market we haven’t spent a ton of time on has been Latin America and Bernard you again stuck to the guidance that you’ve had out there for awhile but did mention some upside. Is that kind of additional upside in the countries and product lines that you mentioned or are there some things in other countries or PSLs where things maybe just haven’t developed yet. I was just interested in a little more color on that.
Bernard Duroc-Danner: . I think there is upside in Latin America. I think the upside is in the countries that I mentioned. And this is something that I would just deliver rather than having sort of stacked up with everything else in your assessment. I’ll leave it at that. I don’t want to say more until the year progresses. But I think Weatherford will do very well in Latin America.
Michael Urban - Deutsche Bank Securities: And is the concern there just the usual shenanigans that go on in that market, just be it project delays or …..
Bernard Duroc-Danner: No, no, I think it’s just simply that perhaps it is Michael that we’ve, most people I think will tell you that we set out targets that tend to be viewed as too high and aggressive and so forth and so on. We do listen to what the comments, the comments that come back to us so. This is one instance where I think that we have reasons to be to feel very, to feel optimistic about Latin America, but there’s no mileage to sort of try to put paper and a pencil to it and have numbers move up. Let’s give it a few more quarters and see how it progresses.
Andrew Becnel: Michael the other thing to think about is if you notice the incremental margins were incredibly strong in Latin America year on year. There is an I would say that the Latin America management has an intense focus on returns and margin. There is always obviously a relationship between how aggressively do you want to grow at the top line and what’s that going to cost you in terms of return and risk. And we have the opportunities there to grow more quickly if we wish, but they might not be the returns or the risks that we think are reasonable to undertake to get that. Now that may change because opportunities change in terms of the risk profile. But there are not things that we know of that we have in hand today and so they’re not things that we’re to bank on or think that you should bank on.
Bernard Duroc-Danner: So do you have a more positive sentiment on one side and on the other side a reminder that returns do matter.
Michael Urban - Deutsche Bank Securities: I have no problem with the results; they’ve been great, just trying to understand how you’re thinking about things. So would your comments on that market be similar to others in terms of the growth expectations that you have or is what you have contractually and if you do better….
Bernard Duroc-Danner: Yes, the numbers on Latin America in ’08 and the indication on ’09 are just as strong and just as reliable as the one, and subject to the same execution risk, no there is no difference there.
Michael Urban - Deutsche Bank Securities: Okay.
Bernard Duroc-Danner: And I think we have run out of time now. So we’ll thank everyone in the audience and probably close the call now. Thank you very much.